Neal Nagarajan: Greetings. Welcome to Centrus Energy Fourth Quarter and Full Year 2025 Earnings Call. At this time, I will now turn the conference over to Neal Nagarajan, Senior Vice President, Investor Relations. Thank you. You may begin. Good morning.
Neal Nagarajan: Welcome, and thank you to all of our callers as well as those listening to our webcast. Today's call will cover the results for the fourth quarter and full year 2025, ended December 31. Today, we have Amir Vexler, President and Chief Executive Officer, and Todd Tinelli, Chief Financial Officer, Senior Vice President, and Treasurer. This conference call follows our earnings news release issued yesterday. We filed our report for the fourth quarter and full year on Forms 10-Ks earlier today. All of our news releases and SEC filings, including our 10-Ks, 10-Qs, and 8-Ks, are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain information we may include on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions around the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10 and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, February 11, 2026, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission, or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation. And I'll now turn the call over to Amir.
Amir Vexler: Thank you, Neal, and thank you to everyone on today's call. 2025 was a milestone year for Centrus, punctuated by December's announcement to begin commercial centrifuge manufacturing to address the commercial LEU market and our substantial backlog. Shortly thereafter, in January, the Department of Energy selected Centrus for a $900 million HALEU enrichment award. Our build-out officially ushers in America's return to domestic commercial uranium enrichment with a de-risked, deployment-ready technology that can service both commercial and national security needs. Our first new cascade of centrifuges is expected to come online in 2029, with subsequent cascades to come thereafter. We are continuing to identify and implement opportunities to reduce both our lead time and the unit cost. This effort is being implemented day one. But first, let me turn to our results. There can be a significant amount of quarterly variability in our results due to the nature of our business, and we therefore believe our annual results are more indicative of our progress. For the full year 2025, we achieved $448.7 million in revenue, a gross profit of $117.5 million, and a net income of $77.8 million. The majority of our current revenue is derived from our LEU business, and during the third quarter, Centrus received waivers from the Department of Energy to continue to import LEU for all currently committed deliveries to US customers in 2026 and 2027. This announcement provided greater clarity and helps de-risk that side of our business. Now turning to our future commercial enrichment business and our go-forward roadmap. Our base case build-out will address our substantial commercial LEU enrichment backlog of $2.3 billion and the requirements to the Department of Energy under the HALEU enrichment award. Considering all factors, our base case will include 12 metric tons of HALEU. Further capacity additions will be progressive and depend on both our offtake demand and our capital resources. Importantly, I am pleased to announce that as we continue to pursue additional low-cost capital, our base case build-out is expected to be sufficient to reach our nth of a kind cost. We initially launched our commercial centrifuge manufacturing to address the growing demand for commercial LEU, where we have a time-to-market advantage. Demand for LEU from existing and growing electrification needs will only continue to increase ahead of any AI data center, advanced manufacturing, or hyperscaler demand, while LEU supply is rapidly becoming more constrained. Near-term domestic LEU demand alone is set to increase by approximately 6.5 million SWUs, stemming from Russia's exiting the market and the additional demand from restarts, upgrades, and new pledged reactors. The LEU pricing curve, which has experienced a 24% compound annual growth rate from 2019 to 2025, is an indicator of this increasingly constrained market and pent-up latent demand. National security is another potentially important market. We are currently the only production-ready option for the national security establishment, and in the fourth quarter, we were notified by the National Nuclear Security Administration of its intent to sole source certain uranium enrichment activities from Centrus. This could represent another source of low-cost capital. Speaking of funding, the $900 million HALEU enrichment award has the potential to exceed $1 billion and still needs to be finalized through negotiations. This potential funding, which comes through a procurement and involves neither debt nor equity, would serve two important points. First, it would be another pool of low-cost capital, and we are grateful to our government for recognizing the importance of Centrus to the market. And second, it is supporting the 12 metric tons of HALEU capacity ahead of a commercially viable advanced reactor market. We are positioned to capitalize on these opportunities because we have been laying the groundwork over the previous twelve-plus months. More specifically, these operational efforts include first, our November 2024 supply chain readiness program. Second, successfully completing phase two of the HALEU operations contract by contractually delivering 900 kilograms of HALEU UF6 to the Department of Energy and producing well over one metric ton of HALEU UF6 for the department as of 2025. Third, adding approximately $300 million to our $2.3 billion contingent LEU backlog and making strong progress towards removing these contingencies. Fourth, announcing that we are creating more than 300 new jobs at our Piketon facility and then hiring more than 50 of those new hires in Q4. In 2025, we added over 140 employees combined in Piketon and Oak Ridge. Fifth, initiating design work on our training, operations, and maintenance facility in Piketon, which will include the significant renovation and rehabilitation of existing facilities, and sixth, continuing to identify and implement opportunities to reduce our lead time and unit cost, a day-one activity. Likewise, from a financial standpoint, these efforts include, first, uplisting to the New York Stock Exchange to attract a more diversified set of institutional investors. Second, validating foreign direct investment as another potential source of low-cost capital by signing an MOU with KHMP and POSCO International. And third, raising capital to support the build-out, ending the year with a cash balance of approximately $2 billion. Todd will discuss this in greater depth shortly. Moving forward, we will continue to capitalize on our time-to-market advantage in the domestic LEU market and our first-mover advantage in a global HALEU market. Operational excellence is non-negotiable. Our first Cascade's timeline includes a significant amount of time, effort, and investment at both our facilities to build on our operational momentum. And as part of this effort, it is with great pleasure that I am able to announce that we just recently entered into an agreement with a best-in-class partner, Fluor, who will serve as our primary EPC at Piketon. In an effort to provide stakeholders with greater clarity, we are prepared to provide the following full-year 2026 guidance. From a financial perspective for the year, we are providing the following guidance: Total company revenue of $425 million to $475 million and total capital spend of $350 million to $500 million. And from an operational standpoint, we are providing the following guidance: First, finalizing contracts with our most critical partners, with a focus on those who will require long lead procurements, significant scale items, and complex parts. These will be suppliers for either parts or equipment at either facility. Second, workforce additions across both facilities to total at least 150 net new employees. At least 100 new employees in Oak Ridge, or roughly 25% of the announced 400, and at least 50 new employees in Piketon. Jobs across both locations will include engineers, assembly technicians, maintenance technicians, enrichment operators, lab technicians, project management, and project controls. And finally, and this will be a big achievement from a design perspective, we will be releasing our first certified-for-construction work package in Piketon. This is where the design for a key plant system has completed necessary reviews and is formally signed and stamped for use by construction crews. We additionally expect to have the majority of our construction partners' mobilization completed in Ohio by the end of the year. We expect to be able to provide more details as we continue to make progress, including a timeline for the completion of our first centrifuge produced by our commercial-scale manufacturing process. This will be another groundbreaking milestone as it represents the supply chain coming together and its ability to produce a centrifuge. With that, I will turn the call over to Todd and then come back with some final thoughts. Todd?
Todd Tinelli: Thank you, Amir, and good morning to everyone on today's call. Let me first walk you through our results before providing more detail on some of what Amir discussed as well as our financial guidance. 2025 was another great year of execution both on the operational and financial fronts as we fortify and prepare the business ahead on this industrial build-out. Total revenue for 2025 was $448.7 million, a $6.7 million or 1.5% increase over full year 2024. The LEU segment generated $346.2 million in 2025, relatively flat versus $349.9 million over 2024 levels. Importantly, while uranium revenue decreased 54% year over year to $55.6 million due in part to a large one-time uranium sale in 2024, SWU revenue increased 21% year over year or $51.9 million, driven by a 23% increase in the volume of SWU sold. The technical solutions segment delivered $102.5 million in 2025, an increase of $10.4 million or 11% over 2024 levels, driven by a $10.5 million increase in the revenue generated by the HALEU operations contract. Total gross profit for 2025 was $117.5 million, a $6 million or roughly 5% increase over 2024 gross profit. The LEU segment's full-year 2025 cost of sales decreased $21.3 million or 8% to $234.7 million. The 2025 LEU segment gross profit increased $17.6 million or roughly 19% to $111.5 million in 2025, driven primarily by an increase in the volume of SWU sold and an increase in the margin on SWU sales due to contract and pricing mix, partially offset by a decrease in uranium gross profit. The technical solutions segment's 2025 cost of sales increased $22 million or 30% to $96.5 million, driven primarily by a $22.8 million increase in costs incurred under the HALEU operations contract, partially offset by a decrease in costs related to other contracts. That segment's 2025 gross profit decreased $11.6 million or 66% to $6 million due to the aforementioned factors. Phase two costs incurred subsequent to November 2024 have not been subject to a fee as this portion of the contract remains undefinitized and is subject to final resolution. Importantly, we had a scheduled and permitted fourth-quarter shipment from Russia that did not leave as expected due to a shipping issue. That shipment, which was pushed out to 2026, would have driven down the average cost per SWU and positively impacted gross margin and net income. In addition, in the year, we experienced nonrecurring G&A costs of $3.6 million and $1.1 million related to voluntary tax withholdings and CFO transition costs, respectively. To provide a better picture of our earnings and account for potential variances in future shipments, as well as our quarterly earnings fluctuations, next quarter, we will begin to present financials in both a quarterly as well as a trailing twelve-month format. Turning to our backlog. As of December 31, 2025, the total company backlog stood at $3.8 billion and extends to 2040. The LEU segment backlog was approximately $2.9 billion. This includes future SWU and uranium deliveries primarily under medium and long-term contracts with fixed commitments, as well as the $2.3 billion in contingent LEU sale contracts and commitments, with $2.1 billion of the total under definitive agreements and $200 million of the total subject to entering into definitive agreements. Our technical solutions segment backlog is approximately $900 million as of December 31, 2025, which includes funded amounts, unfunded amounts, and unexercised options. The options relate to the company's HALEU operations contract. Turning to our capitalization. In 2025, we raised gross proceeds of $533.6 million through two ATM programs. We raised gross proceeds of $390.4 million through our recently announced November 2025 ATM program at an average of $269.21 per share. Combined with our cash generated by our business and oversubscribed August convertible senior note issuance, we ended the year with an unrestricted cash balance of $2 billion. And as Amir noted, we were recently selected for the $900 million HALEU enrichment award, which could increase to just over $1 billion with $170 million of additional options. We are still in the process of negotiating our final contract with the DOE, which will be based on milestone payments. With our funding and our line of sight to customer demand, as of now, we plan to have HALEU production online before the end of the decade and to produce 12 metric tons of HALEU per year thereafter. Our war chest provides Centrus with the ability to begin funding our operations to stand up our supply chain while making the necessary investments in our facilities, machinery, partners, and workforce as part of the build-out. Going forward, we will continue to prudently shape our balance sheet to support this large, first-of-a-kind industrial build-out of one-of-a-kind centrifuge technology that can meet both commercial and national security requirements. We believe we are sufficiently funded to meet our near-term capital requirements, and our current LEU backlog and potential HALEU enrichment awards should allow us to meet our milestone of reaching end-of-a-kind cost. We are simultaneously pursuing other avenues of low-cost capital to continue to strengthen our capital stack, including national security-related funding, future prepayment or offtake arrangements, and potential foreign direct investments. Maintaining a healthy cash balance provides additional flexibility to negotiate with any of these potential partners while also moving us closer to removing the contingency around our LEU enrichment backlog. Turning to guidance. As Amir discussed, we are providing both financial and operational guidance. Let me dive deeper into the financial points we discussed. For 2026, we are providing the following financial guidance: Total company revenue of $425 million to $475 million, with the midpoint of $450 million representing flat year-over-year growth, and total capital deployment of $350 million to $500 million. 2026 capital deployment will also include prepaid expenses that did not prepare as CapEx but impact free cash flow as we invest in our partners as they scale up ahead of our production. With that, I will turn it back to Amir.
Amir Vexler: Thanks, Todd. Our strategy to build both LEU and HALEU capacity is a clear signal to potential customers that Centrus has achieved an important inflection point and is prepared to meet future enrichment needs. Absent Centrus, the market must rely on a duopoly of state-backed competitors with a shared single point of failure centrifuge manufacturing risk. Providing Centrus with orders de-risks customers' businesses and provides us with the clarity needed to stand up our operations. On the LEU side, the technology was already proven, and so too now is our role in the LEU enrichment supply chain. The projected gap between supply and demand for both domestic and international markets is significant. Unleash American energy dominance and energy security. On the HALEU side, we are now going to build out capacity and capitalize on our first-mover advantage. We were already in conversation with hyperscalers for future prepayment or offtake-like agreements, another potential source of low-cost capital financing. Here, we demonstrate that we expect to have at least some capacity ready before the end of the decade and ahead of the advanced reactor market maturing. And for our government, we thank you again for the award and look forward to supporting the national security establishment to our fullest ability. We are embarking on a vital industrial build-out to support the global nuclear industry's growth and America's energy independence. We look forward to updating you with more as we embark on this exciting new step. With that, I will turn the call over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. A confirmation tone will indicate your line is in the question queue. You may press star 2 if you would like to remove your question from the queue. And for participants using speaker equipment, it may be necessary to pick up your handset. We ask that you please limit to one question. Our first question is from Ryan Fait with B. Riley Securities. Please proceed.
Ryan Fait: Yeah. Good morning, guys. Thanks for taking my question. Maybe we could talk about the timeline a little bit more. It sounds like you're looking to improve on the forty-two-month forecast that you've talked about in the past. Can you talk about some of the potential initiatives that might help pull that forward, whether it's more funding, other federal programs, or anything else we should be aware of?
Amir Vexler: Morning, Ryan. Appreciate your question. Thank you for calling today. You're pointing to an area that is increasingly important to us, obviously, as we now embark on actual manufacturing of centrifuges and fulfilling some of our commitments. Execution is becoming and has become a priority for us. And so, as I've stated earlier in the remarks, continuous improvement and the ability to reduce unit cost and go faster is paramount as we build out our capacity. We have to do it in parallel, and I will tell you that we have quite a few folks dedicated to this, and we're dedicating resources to this. And it is evident to me that we already have a good list of opportunities that we're executing on. We have a good list of partners that we've announced. For example, Fluor, which we're very proud of that partnership. They're best in class. Not announced and others that we're working with that we have the future, we'll make announcements related to that. All this to say that being able to go more efficiently, reducing unit cost, and going faster is a priority for us, as I said, day one, and we're executing on it in parallel. And stay tuned for more updates as we continue with the process.
Ryan Fait: Great. Thanks, Amir.
Operator: Our next question is from Rob Brown with Lake Street Capital Markets. Please proceed.
Rob Brown: Good morning, and congratulations on all the progress. On the commercialization side of the LEU commercialization, is that capacity ramp sort of similar timeline of the HALEU ramp? And when does that kinda reach a point where you have that backlog turn from contingent to sort of final?
Amir Vexler: Well, good morning. Thanks for calling in and for the question. Let me just maybe repeat the question, make sure that I'm answering the right one. Your question, first of all, is around the contingency associated with our sales and when does that turn into a firm commitment. Did I get it right?
Rob Brown: Yeah. Correct. Thank you.
Amir Vexler: Yeah. So this is not something that, at this point, we will get into a lot of contractual details. Needless to say that we, as I stated before, we have the intention and the plan, and we're progressing towards fulfilling our commitments. This backlog of LEU commitments that we've announced is extremely important to us. And, again, I will not comment specifically on the details of the contractual arrangements. But this is exactly what we're executing towards in having a reinvention to meet our commitment.
Rob Brown: Okay. Thanks, Amir. I'll turn it over.
Amir Vexler: Thank you very much.
Operator: Our next question is from Eric Stine with Craig Hallum Capital Group. Please proceed.
Eric Stine: Good morning, everyone. So maybe just Hey, good morning. Good morning. Hey, on the CapEx, appreciate the CapEx guidance for 26,000,000. If you could talk about if possible, maybe the linearity of that CapEx expected throughout the year? And then also, as we think about the number that you gave, is that kind of a representative number you know, on an annual basis as you work towards that initial know, 2029 operational date, Or, I mean, is this a number that yeah, is more representative? It's the first year, and you likely you know, it either increases from there or is lower going forward.
Todd Tinelli: Yeah. Thanks for calling in. What I would say is looking past 2026, obviously, CapEx spend and the manufacturing process gets more linear. Currently, right now, you know, the number that we have provided for guidance is capital spend. So that does include some long lead procurement, potential prepayments on supplier agreements, and also engineering work at our Piketon facility. So the first year is not indicative of the linear spend that I anticipate seeing in the twenty-seven through twenty-nine period due to those factors. What I will say is as we move through the year, anytime that we see an adjustment, we'll reflect that in the guidance. And we'll try to keep you it's why we wanna inform the investors the best way we can. On where we're gonna be over the next twelve months, but also on what demand shapes out to be you know, from a plant standpoint at both manufacturing and Piketon. And, you know, we'll work towards you know, fine-tuning that guidance. But the initial year does include some prepayments and long lead procurement.
Eric Stine: Okay. Thank you.
Operator: Our next question is from Jed Dorsheimer with William Blair. Please proceed.
Jed Dorsheimer: Hi, guys. Thanks for taking my question. Congrats on the progress. I guess, you know, for my one question, just the achieving the nth of a kind, it you know, I'm just wondering if I'm reading into this correctly. I had always assumed that, you know, maybe it took the 3,500,000 SWU to achieve that, and it sounds like that's not the case. You can achieve that target with less capacity. And so I'm just curious if you might be able to give a little bit more framework on the relative capacity to achieving the nth of a kind target. Thanks.
Amir Vexler: Yes. Good morning, Jed. Thanks for calling in. Good question. The nth of a kind will be achieved way before the 3,000,000. So as you mentioned, I would have to say that in my view, this is an important announcement to make to the analysts here, to shareholders and investors. As you know, one of the greatest obstacles for any new entry into the market is the nth of a kind cost. And the fact that we are commencing, we're building towards certain, you know, volume and capacity. And the fact that we are able to get through the first of a kind in this short period of time, I think, is remarkably important. As always, I'm very careful. We are not disclosing full costs, and so I will stop there. But I believe I answered your question. And like I said, the fact that we're crossing the nth of a kind cost is a big announcement, a big achievement for us.
Jed Dorsheimer: You did. Thanks.
Amir Vexler: Great. Thank you.
Operator: Our next question is from Joseph Reagor with ROTH Capital. Please proceed.
Joseph Reagor: I guess most of my questions have been answered, but just to kinda touch on, you know, looking forward a couple of years, has the government started to come around on this January 1, 2028, cutoff for Russia imports? Has there been any willingness to discuss that, you know, given domestically, you guys should be first to market that there isn't really gonna be supply in 2028, 2029 domestically?
Amir Vexler: Yeah. Well, another good question, and thank you for calling in as well. I can give you my perspective from interfacing with customers, potential customers, be they on the LEU side, or on the HALEU side? In other words, the existing commercial fleet, or the advanced reactors that are being built, it seems like there's a lot of demand that is being stacked up in around those years towards the end of the decade. We are seeing a lot of demand there. On the government side, I really can't report anything because, you know, there's nothing really to report. We're not there's nothing out there in the public domain that expresses any concerns. But as you know, the real concerns and the real push will come from the customers, the industry, the utilities themselves if and when the problem presents itself. Some of the leading indicators, as I mentioned earlier, we are already experiencing in the form of intense discussions and discussions around HALEU. As you know, we're bringing HALEU supply ahead of advanced reactors being commercially viable. And so that creates a lot of demand as well. Just as a reminder, HALEU is not only enrichment of HALEU. It requires a significant enrichment of LEU and LEU capacity as well. So you have a force multiplier there that will only kind of reveal itself in the next few years. But back to your original question, nothing to report from the government side. And if the government will take note of it, they would most definitely will have to start from the utilities and the customers themselves pointing it out as a problem.
Joseph Reagor: Okay. I'll turn it over.
Operator: Our next question is from David Chloe with UBS.
David Chloe: Hey, everyone. Good morning. Thanks for taking my question. I guess, quick, the 26 guide is flat year over year for revenue. Just wondering if you could kind of remind us of some of the contract dynamics for your long-term supply arrangements. And then also, if and when we should expect to see any kind of step up in line with some of the changes we've seen in long-term SWU prices in line with some of the indices. Thank you.
Todd Tinelli: Yeah. So our guidance is flat. We picked the, you know, the midpoint and obviously, there's a number of factors, obviously, around that guidance. As we mentioned on the call, you know, we did have one shipment that obviously impacted our year-end results for gross profit all the way down to net income and earnings per share. And these are some of the challenges that we face just with normal shipping delays. I would say this was not due to any permitting or any waivers that had to go with wrong with any Russian material. But we see upside to our guide potential guidance. The market continues to improve itself. We've seen some record high spot prices in SWU. We hope those dynamics continue. And, you know, a lot of our supply is contracted both from two foreign sources. We feel comfortable with our supply side. Our goal is to maximize the margin on the revenue side and sales to our customer.
Operator: Our next question is from Jeff Grampp with Northland Capital Markets. Please proceed.
Jeff Grampp: Good morning. My question is regarding the timeline that you guys have put out to initial enrichment capacity. I'm curious, are there more important milestones or roadblocks that would more tangibly de-risk the timeline that you guys have put out that you could communicate along the way? And what might those be? Just kind of wondering how you guys are able to communicate publicly progress towards de-risking that timeline. Thank you.
Amir Vexler: Yeah. Well, thanks for calling in. Another great question on execution here. So if you think about lead times to production, a lot of it has to do with our own cycle times, our supplier cycle times, the lead times that we can get our suppliers to commit to, how we configure our supply chain. All of these are being worked on, as I said, as we speak right now and in parallel with our actual initial build of the centrifuges. We do, as I said earlier, we do look at different partners, different ways that we can be more efficient and faster. I foresee that when those mature and there's something to report, we certainly will be very transparent in how we announce them. You know, we will uncover efficiencies as we go through the process, and I'm sure that there will be more announcements that will be made. I believe I answered the question. I think it's important to know that we do see demand peaking around the time of when we are bringing our capacity. And to the earlier question by the earlier analyst around issues around misalignment of supply and demand, we're predicting that that would be the case. We predict that there would be issues around supply and the ability to meet the demand. So we're doing everything in our power to be able to expedite that to the market. And, again, the example that I used there if we start seeing real committing demand for HALEU, which we're already in discussions with several OEMs, and we're starting to see that happen, especially after we got the announcement out on the award for the $900 million from the DOE. We're seeing great engagement from a lot of the OEMs. Once those start becoming reality, and I predict they will very soon, then that creates huge demand for LEU as well. And so I think all of that is going to become a lot clearer as we step through the major milestones this year and then in the next few years.
Todd Tinelli: And I just will add that the importance of our supply chain is critical. We're working very diligently on making sure our supply chain meets national security needs. So, you know, those steps in order to meet that supply chain requirements we have to be careful with. We have to be prudent and make sure that we cover all of our bases. Once we achieve, you know, those supply chain requirements for national security, it allows us to move a little quicker. And so, you know, we'll continue to provide updates throughout the year and in future quarters on how those milestones can be tracked, and we'll hold ourselves accountable.
Jeff Grampp: I appreciate those thoughts. Thank you, guys.
Operator: Our next question is from Vikram Bagri with Citigroup. Please proceed.
Vikram Bagri: Could you talk about the HALEU production target that you have on a metric ton basis? It looks like it's roughly enough for an initial load for one of the advanced reactors. So could you just confirm whether that quantity includes both an assumption of market demands as well as the demand that you see from the DOE task orders?
Amir Vexler: Yes. Yeah. Good morning. Thank you for that question. The way I read your question is around the capacity and what that capacity actually means for the industry in terms of the ability to satisfy some of the initial cores or what they may be. We gotta remember the intent of the DOE program was to stimulate the market. So here we had a market where there was not necessarily demand that anybody could commit to. And the Department of Energy had widely said, well, we're gonna do is we're gonna invest. We're gonna create the capacity and then we're gonna allow the OEMs to contract for that capacity. And exactly as they planned, we're starting to see that. We're seeing the OEMs now lining up and having discussions and conversations for the capacity that's gonna become available. More specifically to what does that number represent, it depends on the design. It depends on the specific OEM, the size of the reactor, it depends on how they're gonna configure their supply chain and what enrichment they would require. I will point out two things to you that number one, we did say that it is our full intention to have both LEU and HALEU capacity, and we're progressing on those fronts. And it is our intention to serve the commercial and national security needs, and we're progressing on those two fronts as well. And so there's really no specific answer to that other than the fact that we will continue expanding our plans if need be, and we're pushing as hard as we can to get as much offtake as possible and in demand as possible. And if need be, our plans would be expanded accordingly. This is a good kickoff and starting point for us in terms of our capacity assumptions.
Vikram Bagri: Got it. Very helpful. I have one follow-up. Just in terms of the guidance, could you just remind us how pricing is set in the contracts? Are you able to talk about what portion of the planned deliveries for 2026 already have the cost of supply fixed?
Todd Tinelli: Yeah, so in guidance, we don't comment on the contractual makeup of our contracts. What we have said is we do have secure supply from two foreign sources. And, you know, that allows us to get comfort around our guidance and secured that we have everything in place, both waivers and, you know, as I said, normal shipping channels to move forward.
Operator: Our next question is from Steven Gennaro with Stifel. Please proceed.
Steven Gennaro: Thanks. Good morning, everybody.
Amir Vexler: Good morning, Steven.
Steven Gennaro: I was curious what you could tell us on this from when we think about the CapEx you're spending to build out capacity over the next decade, how do you think about the evolution of SWU prices to sort of support the economics behind it? And I know you're not gonna give me an exact number, but, like, how do we think about through for HALEU and LEU? And just in your mind, like, how does that dynamic play out?
Amir Vexler: Yeah. Good. Thanks for that question, Steven. Thanks for calling in today. I think it's an important topic to discuss because, you know, we talk a lot about cost, which is a very important part of the project and the elements that we're considering. Likewise, the SWU prices out there and our ability to contract for higher SWU prices or more favorable SWU prices is a major consideration for us. So I think the question of, well, how do you see this SWU prices sort of momentum in the market, I think, is something we discuss and debate and monitor very closely internally. The SWU prices, in my view, are gonna adjust down only if one of two things happen. Well, if one of two things happens. Either demand goes down, in other words, we're gonna start shutting down reactors, or basically, the supply side is gonna outpace the demand. I sure hope that the former does not happen. There's no indications of that. And for the latter, most of the announced expansions, either it's us or our competitors, is based on contracted SWUs. So there is really nobody out there that is building what I call just-in-case or ready-to-serve SWUs that they will be eager to get off and sell on the market. All this to say that my view is that as supply becomes tighter towards the end of the decade, and as utilities start going out for bids, I think that would continue to apply upward pressure on SWU prices. And so that obviously strengthens our business case. That strengthens our investment, our case for our shareholders. And that really is how I view the situation. Now this doesn't even include some of the extra and the bonus and opportunities that are out there. So, you know, if advanced reactors become a dominant force in the market, you know, somebody comes out and announces a major build of advanced reactors, that is gonna apply even further pressure on not only HALEU and, as I mentioned earlier, on LEU SWU capacity as well. I think that that would be a big upside and a big opportunity as well. You know, we went through a major geopolitical event where the largest producer of enrichment in the world has really been not gonna be trading in the Western market. And I think the ramifications and the ripples of that are not gonna be settled for a long time in my view.
Steven Gennaro: Great. Well, that's great color. Thank you.
Operator: Our next question is from Sameer Joshi with H. C. Wainwright. Please proceed.
Sameer Joshi: Thanks for taking my questions, and congrats on the good progress. The question is about the $900 million from the task order DOE task order. Given that advanced reactors are likely to come online towards the end of the decade, should we expect this ten-year contract to really be a five-year contract and, like, get the money upfront loaded?
Amir Vexler: Well, good morning. Thank you for calling, and really good topic to talk about. So, as I mentioned earlier, we now are in discussions with numerous folks about their needs, what we can supply, and some commercial discussions are taking place as well. The way I view it is we will be looking to maximize the commitments from suppliers. Obviously, longer-term commitments are more favorable to us. That would be reflected in the pricing as well. I mean, when you look at contract pricing, it takes all of that into account. You know, your question was about front-loading some of these contracts from a cash perspective. I mean, obviously, these are all the things that we constantly try to optimize, and we will continue to try to optimize in the best interest of our shareholders. Particularly that most of the SWUs that we're selling is what I call expansion SWUs. These are SWUs that we're investing capital in. So absolutely, we will be looking to optimize all of these things. Beyond that, comments about any specific contracts or terms and conditions, I'll refrain from discussing here.
Operator: Our next question is from Bill Peterson with JPMorgan. Please proceed.
Bill Peterson: Yes. Hi. Good morning, Amir and Todd. Thanks for all the details, including the guidance parameters for the year. I was wondering if you can double-click on what opportunities you have to pull in the forty-two-month time frame you spoke of as well as, I'd say, to build out more broadly. I guess what I'm getting at is what's under your control versus suppliers or other third parties? How much is contingent on additional financing? Negotiations with suppliers and partners, or think you alluded to already, or government approvals related to national security?
Amir Vexler: Yeah. Well, good morning, Bill. Thanks for that question. I think that what you're double-clicking on is exactly the areas of the most important conversations we're having internally right now. I said, execution is paramount. Meeting our commitments is paramount. In parallel with that, we gotta be able to generate opportunities and do better than what we committed to. If you look at what are those opportunities, and I'm just gonna general terms and general themes, we're very unique in that we're building our own centrifuges. We have the capability, obviously, to build our centrifuges. We have partners that are suppliers. And so a lot of what we do is really within our and we have a pretty wide range of motion in being able to generate the opportunities. So, for example, things like cycle time around some of the components that we manufacture. Working, incentivizing, and structuring contracts, and relationships with suppliers to incentivize them for shorter lead times, and ensuring that we structure our oversight, ensuring that we structure our own processes, to yield best quality first time, best yield that we can. To me, this is fundamental elementary manufacturing excellence. And we are partnering, bringing people that specialize in it, utilizing every piece of knowledge and experience that are out there to come and help us. And so far, I have been pleased with the progress. And as I said earlier, we are really looking forward to making more announcements around how we're doing, who we're partnering with, and what value that brings to the project and the shareholder. I don't know that I will be able to go more specific than that, but in general, these are the themes that we're attacking, and as I said numerous times, I think this is one of the most important topics that we're applying energy into at the present time.
Todd Tinelli: And I'll just add, you know, one of the important factors on deploying capital is having a well-capitalized balance sheet. Our line of sight to our spend not only over the next twelve months but twenty-four months allows us to make sure that we can deploy capital without slowing down that timeline, regardless of market conditions. We do not wanna be forced in any downward market conditions to be raising expensive capital and negatively impacting our shareholders. So, you know, we'll be optimistic and opportunistic with, you know, our balance sheet to make sure we're capitalized to cover ourselves that we do not slow down that timeline in deploying capital to meet our manufacturing rates.
Bill Peterson: Appreciate the color, Amir, Todd.
Amir Vexler: Thank you.
Operator: Our next question is from Lawson Winder with Bank of America. Please proceed.
Lawson Winder: Operator, and hello, Amir and Todd. Thank you for today's update. I'd like to also say congratulations on the $900 million to support your HALEU buildout. In that vein, I'd like to just dig down on something that might be a really obvious question, but I'm just not totally clear on it. And that is longer term, what is your sourcing strategy for the LEU feed for the HALEU? And maybe put another way, how much of your LEU production will be captive to your HALEU production? And how much of that $3,500,000 SWU then will be available to satisfy LEU primary demand? And then further, if the LEU capacity isn't available to meet the HALEU feed, you know, what are the options, you know, particularly given that the Russian supply will be going away after 2028?
Amir Vexler: Alright. Good morning. Good question. I'm gonna answer your question very generally. And please let me know if there's more specific details that I can provide. From a general perspective, it is our intention, our plan, our goal, our strategy to maximize the capacity of the facility that we're building. As I said, we kicked off with a certain base case from which we're gonna build progressively. And that would depend on customer commitments, which we are actively soliciting and getting great engagement as of the announcement of the $900 million. Those commitments would be able to drive our continued volume expansion of LEU and/or HALEU depending on the contract type. For our HALEU customers, just from general terms, it would be my intention to want to optimize the SWUs that we provide, which means that I would try to have a contract that includes providing HALEU and providing the LEU. And obviously, to be able to enrich both. So I'm not really commenting on any specific contract or any specific discussion or negotiation that we have in play, but it is our intention to be able to provide both LEU enrichment and HALEU enrichment to the optimal and maximal capacity that we can. And to your second part of the question, if, let's for example, hypothetically speaking, if you have a HALEU contract for which you don't have sufficient LEU feed, I mean, that usually contractually speaking is not an issue. You know? There are contracting mechanisms either by ourselves or the customers that are able to utilize other suppliers for that. Now I earlier said that I foresee that there's gonna be tightness towards the end of the decade. So notwithstanding that comment, we have the ability or the customers have the ability to contract feed should that be needed. But to my overall theme, we're gonna try to optimize the max both because economies of scale for the facility are important.
Lawson Winder: Okay. Thank you very much. That's fantastic color. Thank you.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to Neal for closing remarks.
Neal Nagarajan: Thank you, operator. This will conclude our investor call for the fourth quarter and full year 2025. As always, I want to thank our listeners online and our analysts who called in. Look forward to speaking with you again next quarter.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, and thank you for your participation.